Operator: Good afternoon. My name is Daphne and I will be your conference operator today. At this time, I would like to welcome everyone to the Cambium Networks Fourth Quarter and Full Year 2020 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question and answer session.  Mr. Schuman, Senior Director of Investor and Industry Analyst Relations, you may begin your conference.
Peter Schuman: Thank you, Daphne. Welcome and thank you for joining us today for Cambium Networks' fourth quarter and full year 2020 financial results conference call and welcome to all those joining by webcast. Atul Bhatnagar, our President and CEO and Stephen Cumming, our CFO, are here for today's call. The financial results press release and CFO commentary referenced on this call are accessible on the Investor page of our website, and the press release has been submitted on Form 8-K with the SEC. A copy of today's prepared remarks will also be available on our Investor page at the conclusion of this call.
Atul Bhatnagar: Thank you, Peter. We have built Cambium into a next generation global wireless infrastructure leader for broadband communications. And the results are clearly demonstrated in our financial performance during the fourth quarter, and second half of 2020. Demand for wireless infrastructure projects around the world remain robust, driven by work, learn and play from home and accelerated by government funding of broadband solutions. Fixed wireless broadband is a critically important networking fabric to connect our local communities. We are benefiting greatly from the investments we have made over the past few years in fixed wireless infrastructure technologies in such areas as Point To Multipoint PMP, including the Citizens Broadband Radio Service CBRS compatible products, and in new opportunities, such as gigabit wireless solutions with our 60-gigahertz millimeter wave products.
Stephen Cumming: Thanks, Atul. Cambium's record fourth quarter results are the combination of multiple years of investment in our strong R&D pipeline and new product momentum as demand strengthened to Cambium high quality, fixed wireless and enterprise Wi-Fi products. Our partner community remains resilient and demand continues to increase for our new Wi-Fi 6 products. And we are seeing healthy shipments of our 60-gigahertz products and record shipments of our latest EPMp products during the fourth quarter. Record revenues of $82.8 million for Q4 '20 came in above the high end of our outlook of $74 million to $76 million.  Revenues increased by 13% quarter over quarter and up 29% year-on-year from $64.1 million. This was the first quarter in our company's history to break the $80 million revenue threshold, having just broken the $70 million barrier for the first time during Q3 '20. On a sequential basis the Q4 '20, revenues were higher by $9.8 million, or an increase of approximately 13%. The higher revenues were driven by our PMP products, which grew 24% sequentially; due to service providers continuing to scale networks, driven by requests for increased capacity, higher demand for CBRS compatible solutions, CARES Act and task two funding and the start of volume shipments of our new 60-gigahertz technologies. As anticipated, our point to point revenues declined by 7% sequentially, but perform better than anticipated after a very strong seasonal third quarter in North America for federal products. Enterprise Wi-Fi solutions grew 10% quarter over quarter driven by higher shipments of our new Wi-Fi 6 products and record shipments of our cloud savvy switching products.  Looking at revenues by geography, all regions grew on a quarter over quarter basis. North America our largest region represented 55% of company revenues, compared to 53% during Q3 '20. North America had a record quarter with revenues growing 17% on a sequential basis, driven by higher PMP. AMEA our second largest region grew 6% sequentially, and represented 26% of revenues during Q4 '20 and 28% of revenues during Q3 '20. The quarter-over-quarter growth in AMEA primarily reflects stronger PTP revenues and continued recovery in enterprise Wi-Fi revenues. CALA had another strong quarter of revenues breaking the $10 million barrier for the first time in the company's history and represented 12% of sales during Q4 '20. Growing by 14% quarter over quarter, due to a broad base revitalization in the region and a number of significant customer wins.  APAC revenues grew 16% sequentially and represented 7% of revenues during Q4 '20 flat as a percent of revenues from Q3 '20. Looking at our gross margin, non GAAP gross margin of 51.2% decreased by 120 basis points compared to Q4 '19. The year-on-year decrease in non GAAP gross margin wares result of less mix of higher margin PTP and Wi-Fi products and higher inventory reserves.  On a sequential basis non-GAAP gross margin in Q4 '20 of 51.2% was a 150 basis points higher than Q3 '20. The highest quarter-over-quarter non-GAAP gross margin was a result of higher volumes, richer mix of higher margin enterprise Wi-Fi, lower rebates and inventory reserves and improve supply chain efficiencies.  In Q4 '20, our non-GAAP gross profit dollars increased by $8.8 million to $42.4 million compared to the prior year and improved by $6.2 million sequentially. I'm particularly pleased with the improvements we've made with our gross margin initiatives and progress towards our longer term goal of achieving annual non-GAAP gross margin targets of 51% to 52%. For the full year 2020, non-GAAP gross margin improved 80 basis points to 50.3% compared to 49.5% for 2019.  Non-GAAP operating expenses, research and development, sales and marketing, General Administration, depreciation and amortization in Q4 '20, decreased by $171,000 when compared to Q4 '19, and stood at $29.1 million, or 35.2% of revenues. The majority of the year-on-year decrease in non GAAP operating expenses was a result of lower discretionary spending in sales and marketing expenses due to less travel and tradeshow expenses as a result of COVID. When compared to Q3 '20, non-GAAP operating expenses increased by approximately $3.5 million. The quarter over quarter increase reflects higher R&D and sales and marketing expenses from a four quarter reinstated salaries and increased variable compensation resulting from higher revenues due to the company's strong performance during Q4 '20.  For the full year 2020, non-GAAP operating expenses decreased by $3.1 million and stood at $106.7 million compared to $109.8 million for 2019. Another non-GAAP operating expenses during 2020 reflect the benefits of past restructuring activities as well as lower discretionary spending in sales and marketing. Non-GAAP operating margin was 16%, up from 6.6% during Q4 '19 and increased from 14.6% of revenues in Q3 '20. For the full year 2020 non-GAAP operating margin was 12% compared to 8.3% for 2019. We had another excellent quarter of profitability with adjusted EBITDA for Q4 '20 at a record $13.9 million or 16.8% of revenues, compared to $5.3 million or 8.2% of revenues for Q4 '19. And up from $11.4 million or 15.6% of revenues in Q3 '20. Full year 2020 adjusted EBITDA was $37.4 million, or 13.4% of revenues compared to $26.2 million, or 9.8% of revenues for the full year 2019. This represents a 43% increase in adjusted EBITDA from 2019. We see continued leverage in our business and remain committed to driving our adjusted EBITDA to our target model of 18% to 19% of revenues over the next few years.  Moving to cash flow, cash flow provided by operating activities was $15.1 million for the fourth quarter 2020, primarily the result of increased profitability, improved collections as a result of better linearity of revenues, and an increase in accounts payable. This compared to $6.1 million of net cash flow provided by operating activities for the fourth quarter 2019 and $16.4 million for the third quarter 2020. For the full year 2020 operating cash flow was $56.9 million, compared to $3.6 million during calendar year 2020.  Non-GAAP net income for Q4 '20 was a record $10.7 million, or $0.38 per diluted share compared to $2.3 million or $0.09 per diluted share for Q4 '19 and non-GAAP net income of $7.8 million or $0.29 per diluted share for Q3 '20. The higher non-GAAP net income compared to the prior year period was due to higher revenues and gross profit dollars lower OpEx as a result of benefits from our past restructuring, lower sales and marketing and R&D expenses and lower interest expense due to the reduction in long term debt. The increase in non-GAAP net income compared to Q3 '20, was primarily attributable to higher revenues and gross profit dollars as we efficiently scale our business. For the full year 2020 non-GAAP net income was $24.1 million, or $0.86 per diluted share compared to $12.1 million or $0.47 per diluted share in 2019.  Turning to the balance sheet cash total of $62.5 million as of Q4 '20, an increase of $12.4 million from Q3 '20 and represented a positive net cash position for the company in first time in its history. The sequential increase in cash balance during Q4 '20 was primary result of improved earnings. Strong cash collections resulting from improved linearity of revenues, and an increase in accounts payable. Q4 '20 net receivables totaled $58.1 million a decrease of $0.5 million from Q4 '19 and an increase of $4.2 million sequentially. Days sales outstanding for the fourth quarter stood at 56 days, an all-time record and a decrease of 22 days from the prior year and lower by two days sequentially as a result of strong collections and improved shipping linearity.  In Q4 20 days, payables outstanding stood at 55 days, a decrease of five days from the fourth quarter of the prior year and lower by three days from the third quarter of 2020. Net inventories of $34 million in Q4 '20 decreased by $7.7 million year-on-year and increased by $4.9 million from Q3 '20. Inventory days stood at 71 days down 58 days compared to Q4 '19. And down by two days from the end of September. Given the rapid growth in revenues, we expect a modest increase in inventories over the next few quarters.  Finally, Cambium was able to successfully increase equities trading liquidity with a secondary offering of $2.5 million shares sold from vector capital. The offering was non-dilutive to our existing shareholders, and we welcome those new shareholders that are now part of Cambiums journey.  In summary, we continue to make excellent progress on achieving our long term target operating model by accelerating growth, gaining scale and improving our operational efficiency. All of this is demonstrating the tremendous operating leverage we have in our business. Our balance sheet is strengthened with another excellent quarter of cash generation, and we continue to see improving visibility into our business.  Moving to the first quarter and calendar year '20, '21 financial outlook, please note that Cambium Networks' financial outlook does not include the potential impact of any possible future financial transactions, acquisition, pending legal matters or other transactions. Accordingly, Cambium Networks only includes such items in our financial outlook to the extent they are reasonable. However, actual results may differ materially from the outlook.  Considering our current visibility as of February 18, 2021 our Q1, '21 financial outlook is expected to be the following. Revenues between $81 million to $85 million. Non-GAAP gross margin between 49.5% to 50.5%. Non-GAAP operating income between $11.6 million to $13.4 million, interest expense net of approximately $1.4 million, non-GAAP net income between $8.4 million to $9.7 million or between $0.30 to $0.34 per diluted share. Adjusted EBITDA between $12.6 million to $14.5 million and adjusted EBITDA margin between 15.6% to 17%. Non-GAAP effective tax rate of approximately 17% to 19% and approximately 28.3 million weighted average diluted shares outstanding. Turning to our cash requirements pay down a debt, $2.5 million. Cash flow interest expense of approximately $900,000 and capital expenditures between $3.2 million and $3.6 million. For the full year 2021 financial outlook is expected to be as follows. Revenues between $317.5 million to $331.4 million increasing between 14% to 19% and adjusted EBITDA margin between 15% to 16%.  I'll now turn the call back to Atul for some closing remarks. 
Atul Bhatnagar : We started this journey over nine years ago with our separation from Motorola. With a shared set of values and the goal is to win by delivering high performance, high quality, yet affordable products, providing end to end wireless fabric, managed by our cloud based cnMaestro software. We haven't deviated from that vision and today, the market is coming to Cambium. As fix wireless is now becoming mainstream, and as we enter urban markets for the first time in a significant way. With wireless now matching the end to end speeds of fiber, Cambium networks is very well positioned to win based on our superior value, and lower TCO.  Wireless is the new fiber. We continue to strive to achieve our goal of long term top line growth in the mid-teens and adjusted EBITDA in the upper teens as a percentage of revenues. Cambium has multiple revenue drivers to reach this goal, including our new gigabit wireless products, such as enterprise, Wi-Fi 6, 60-gigahertz and in the middle of this year 28 gigahertz millimeter wave solutions for 5G fixed wireless. We also expect the continued adoption of CBR s compatible solutions. And we can now add software as a service to the list of growth drivers for 2021 with the inclusion of our cnMaestro x solution.  Our profitability should benefit from increased scale in our business while we judiciously manage our costs although we'll continue to feel new investments in R&D to maintain our technology edge. Our balance sheet is net cash positive for the first time in company's history and continues to improve. We had another solid quarter of cash generation and we remain excellent stewards of capital. Looking at the upcoming year, 2020 showed how the wireless communications community rapidly stepped up to meet demand in response to the pandemic. We predict 2021 we'll see many of those changes become permanent and sets the stage for future growth opportunity.  Beyond calendar 2021 Cambium networks remains excited to support the next round of Connect America funding, the rural digital Opportunity Fund to bring high speed broadband service to millions of unserved Americans. And next gen EU funding programs for high capacity networks in Europe. Cambium solution stand to benefit significantly from the journal network infrastructure upgrades, and the art of initiative beginning in a substantial way during 2022 and lasting for six or more years.  Our ability to scale our business, including our 24/7 global support, and our focus on customer delight, through cutting edge innovations remain our winning formula. Finally, I'd like to thank our employees, partners and customers for the hard work and cooperation and outstanding results during these unprecedented times. This concludes our prepared remarks. So with that, I would like to turn the call over to Daphne and begin the Q&A session.
Operator: Thank you, Atul.  And your first question comes from the line of Paul Koster with JP Morgan.
Paul Koster : Thank you for taking my question. A couple of quick ones. So, first up the move into urban markets. Is it with existing customers and the existing channel? Or is it going to be a new customer base and a new channel? And in either case, can you just describe to us the sort of sequence of events there?
Atul Bhatnagar : Thanks, Paul, I think it's going to be a mix. Many of our customers are drawing concentric circle around their markets, they have won the developing community side, and now they're to expand business. They are going towards maybe five kilometers, 10 kilometers more. And some of that could be enterprise connectivity. Some of that could be home connectivity. So I think we do have existing customers who are now diversifying, but also many new customers who might be in video surveillance, for example.  And they need broadband at a particular point, new applications, or someone who really needs very strong multi gigabit urban Point to Point connectivity with meshing architecture. So those are mix of the two and very exciting new applications opening up. I think, I made this remark in one of the calls. If you asked me what our markets will 16 gig get into I don't think we can predict it. I think it will be very pleasant surprises in new markets, new application, because the very enabling technology.
Paul Koster : So 60, how would you describe the current sort of adoption processes? Is there a sort of land and expand or are people going full board  to complete installations without testing and scaling? Or are they going straight to full deployment?
Atul Bhatnagar : No, I think it'll be land and expand. Because wireless always you have to, the proof is always in the pudding. You know, everybody can claim whatever number they want to claim. But ultimately, you have to deliver the resilience, the performance, and deliver in the noisy conditions in different atmospheric conditions. So now I think it will land and expand; and that's why Cambium always focuses on -- and we always say that; first four to six months of POCs and pretty much all of our solutions, and then the expansion start and that expansion that lasts for multiple years.
Paul Koster : And when you bring out the 5G 28 gigahertz product, will that be sold into the same market, same customers? And if so, how are the two products positioned?
Atul Bhatnagar : Yeah, I think they are very complimentary, because 60-gigahertz is one kilometer, two kilometers, type of distances. And maybe with meshing you can be a little more, but it's 28 gigahertz will be probably five to seven kilometers without mesh. So I think we will see them as very complimentary as customers expand the network with multi gigabit. I always say that LAN WAN convergence is happening, because we used to always separate the WAN is slower, LAN is faster. Increasingly when you achieve multi gigabit on those type of distances. You start to bring a lot of computing to the edge, which is kind of what you're seeing.
Paul Koster : My last question, that's all thanks for taking these questions. You do so well. And yeah, it feels like half the customers are still struggling or not available to and I'm thinking in particular hospitality and airports and education facilities, campuses, campus environments, where, you know, there's still sub optimal in terms of occupation levels and activity levels. And sort of the pandemic continues to weigh on the activity that so, surely they haven't even tested out the need for new capacity with Wi-Fi 6 and some of these new capabilities. Is that a true statement and things just get better and better as the world opens up here or is it a you're already seeing that business?
Atul Bhatnagar : I think Paul, a very insightful comment. I definitely think there is good upside as world gets better and better, because our new products are just getting off the gate. These are few seeds , and we know the lifecycle, the product life cycles, new deployment is anywhere, you know, good solid four years, five years. Cambium has products which are on the tower for five years, six years. So no, I think your observation is right, that as the world gets better, I think our opportunity gets stronger. 
Paul Koster : Thank you. 
Operator:  Up next is Scott Searle with ROTH Capital?
Scott Searle : Hey, good afternoon. Thanks for taking my questions. As you know in terms of the fourth quarter results, a lot of demand certainly in the point to multipoint front and within North America, I was wondering if you could quantify or provide a little bit more detail in terms of some of the new products and their contribution in the quarter? Whether it's 60 gig and also, if you could clarify, I think you said 40 proof of concepts that are going on right now or trials for 60 gig. And want to confirm that that was 60 gig not other product line, but you know, where was 60 gig were received BRS in the fourth quarter results? And then second question, shifting the outlook to your guidance for the first quarter in 2021. Now, what's the current visibility that you've got to the March quarter? And then is we're looking into 2021, it kind of implies that things softened a little bit. So is that an error of conservatism on your part? And what is the expectation for the new product contribution in 2021? A lot of big products, a lot of momentum, but I'm kind of wondering if you could put some quantified a little bit more around the edge? Thanks.
Stephen Cumming: Wow, how many? How many questions is that?
Scott Searle : I'm trying to -- yes, ABCD.
Atul Bhatnagar: Yes, all right.
Stephen Cumming: I think I still can say the first few.
Atul Bhatnagar: Yes. Scott, thank you for asking. And -- so, first of all, 44-0 proof-of-concept for 60-gigahertz is the right number. I think we are seeing good expansion on POC. And as I said to Paul, I think good four months, five months or so, are always pure season then expansion starts; so normal life cycle. So NPI, WiFi6 is expanding, moving into some -- some places moving into deployment but still lots of POCs; 60-gigahertz POCs and then expansion will start. I think 2021 you'll see good expansion of 60-gigahertz. So, overall, all as we look at fourth quarter results as well as Q1, the CBRS continues to accelerate. Presently, I think CBRS is also finding new applications; enterprises are looking at it, industrial automation guys are looking at it. So, in general, that pressure spectrum of 3.5 gigahertz is finding new applications. So, good for us. In terms of Q1 visibility, I think Stephen can give you lot more color there. And in terms of the numbers, we always like to make sure that while we all have good momentum, good wind in the sail, we remain kind of realistic about things as well. So, I will like Stephen give you some rundown.
Stephen Cumming: Yes, Scott. So, visibility for us, I would say over the last few quarters has continued to get better and better. It's actually something as a young public company, we spent a lot of time on in terms of trying to improve that, both in terms of our forecasting, and the tools that we have access to to try and get better information from our network, our channel and our distributors. So I would say in terms of the backlog position when we've been entering the quarters, historically, we like to have a solid backlog and by the end of the first month have about 60% of the revenue booked. Q3 was stronger than that, Q4 was even stronger. I would say as we enter Q1, which is -- tends to be a sort of flattish seasonal quarter for us, the backlog coverage is even stronger than it was in Q4; so that gives us confidence about the Q1 guide. I think in terms of your other question with regards to 2021; and is that sort of a element of conservatism in that number? You know, we're forecasting the full year, as I said, in prepared remarks to be somewhere between 14% and 19% growth. Overall, you heard from us, we always see strong momentum in the business, both in rural fixed wireless broadband coupled with shoots of improvement from even hospitality and enterprise; so things are looking good from that perspective, coupled with a lot of the new products that we introduced at the tail-end of 2020. I think we are being a little bit cautious, given some of the supply constraints that we see out there, particularly in the semiconductor space, and so our guidance incorporates that for 2021. Did we get all of them?
Scott Searle : Thank you. Perfect, thank you.
Stephen Cumming: Good.
Operator: Your next question comes from the line of George  with Jefferies.
Unidentified Analyst: Hi, guys. Thanks very much. Congratulations on the good results. And you know, if I -- if I want to nitpick on you guys a little bit, I guess I'm wondering if he could have shipped more in the quarter. Obviously, it's a very healthy environment out there, and I was wondering if there was an opportunity to ship more that you -- maybe you couldn't because of supply chain or distribution issues or manufacturing issues; anything you could tell us will be great. And as we've been chatting with customers, it sounds like there have been some shortages out there of specific products for Cambium; so I was just wondering how do you guys see that situation?
Atul Bhatnagar: George, there is no doubt that there is some tightness in chips and some supplies, nothing to be overly concerned, at least for our business, as we forecast, but there is -- there is definitely tightness. And I think as we look at the numbers, as we forecast the year, we already taken all that into account. And in terms of the shipments and all that I think every quarter, no matter how hard you work, from different logistics reasons, sometimes you're not able to ship everything, there is never perfection in those things. But overall, I think most of our key customers got their products. And in some key products where there were shortages, we are catching up fast in Q1. So overall, I would say, yes, there is some conservatism built in but we're also realistic that not everything works out in every situation to go out purchasing. But we are pretty positive about where we are very, we have excellent relationships with our suppliers. And actually in our case, we anticipated that the demand will be increasing based on last six to eight months of cambium demand. So we proactively start working with our suppliers as early as November, early December. So we feel good.
Unidentified Analyst: That's great. And just as a quick follow up any commentary on where the distribution channel is right now in terms of inventory levels, are they pretty light? Are they normal? You know, how would you characterize it? 
Stephen Cumming: Yes, I mean, we obviously we get a lot of good channel data now with our channel management tools. So we track both Belfer, you know, the pole POS, very closely. And we get pretty much all of our distributors to report on their inventory, in some cases, a weekly basis, but certainly on a monthly basis. So I would say it's been reasonably consistent. Certainly POS has been very healthy. So we know the end demand is strong. But I would say from an inventory perspective in the channel is consistent, and it's roughly around that sort of six or seven weeks.
Unidentified Analyst: Okay, great. Thank you. 
Operator: Thanks. Our next question comes from the line of Simon Leopold with Raymond James.
Simon Leopold: Hi, guys, this is Victor shoe and for Simon, regarding the art of opportunity, I think you said on the call hundreds of million dollars over the span and the initiative, so can you just help us to understand what you're expecting around the timing and trajectory of the conference contributions from this opportunity?
Stephen Cumming: As we said it's a initiative I think it will kick off for us in a good way, but we ended the year, early next year, that kind of timeframe. And then we'll go next six years, solid two years, and I think we have seven paths. Overall, total in cumulative incremental business per camera will be about 350 million or something like that. So then when we compute, you know how that money will be spent the large $20.4 billion, it'll be spread across many initiatives. I think for cambium, that type of a number incremental or next six, seven years, we feel pretty good about.
Simon Leopold: Okay, that's helpful. And I just wanted to double click on the progress with the Wi Fi business year, the year decline seems to be stabilizing, somewhat, but can you help us understand what you're observing from the demand environment since you seem to be pretty optimistic that the growth you know recovers here?
Stephen Cumming: Yes. So I think Wi-Fi, we definitely see recovery. And the I think the bottom part is, or, and this year, we are projecting about 30%. Year-over-year growth, 50. And remember, in 2019, we delay 81 or 82%, year-over-year. So we are back towards our thing, the kind of direction we were before. And let me share with you why we are confident cambium focuses on solutions. cambium doesn't focus on a technology, we and that's why when we go to customers, we say Mr. Customer, we have wireless fabric, we have different frequencies, both indoor outdoor, we have Wi Fi, we have LTE, we have fixed wireless broadband, other solutions, I think the benefit of that is that we are able to go into new segments, where we may not have been present, for example, healthcare, I think we are beginning to sell more Wi Fi solutions in healthcare globally.  And we are beginning to go beyond like warehouses, for example, some of the warehouses have outdoor needs. There we are very differentiated. So we are seeing that we are seeing retirement communities, retirement homes. So what can we miss finding is new segments. So, as all segments come back, like hospitality, and as education accelerates, again, I think we will have some good upside. 
Simon Leopold: Okay.
Stephen Cumming: Just to add to that a little bit is, you know, healthcare as a tool mentioned, education is another area, but we are actually starting to see a little bit of a pulse now in hospitality. I mean, it's a bit early days to say if it's, it's going to continue, but certainly in a Mia, we're starting to see some activity there as things start to, to ease a little bit after the COVID pandemic. So we're, you know, factored into our growth expectations, which we think is somewhere between 40% and 60%, for Wi-Fi midpoint of 50%, growth for 2021. You know, we are anticipating a little bit of an improvement in hospitality as we go through the year.
Simon Leopold: Okay, and we're assuming that candy is not going head-to-head against the incumbents, you know, like CISCO and HP, you know, how are you thinking about the size of the addressable market? That you're thinking of?
Stephen Cumming: Yes, there's plenty of market in the mid-market. And, and again, I wouldn't point anybody but no, I don't think we need to go after the giants of our industry, there is plenty of value we provide for the mid-market, and we see pretty strong growth. I think we need to just keep walking before we run. And, and there's plenty of business for us to be had. 
Simon Leopold: Thank you. 
Stephen Cumming: Thanks, Simon!
Operator: Your next question comes from the line of Rod Hall with Goldman Sachs.
Rod Hall: Hi, thanks for taking my question that we bought early on Parag. Congrats, on the good deals, by the way, on a 30 back to the full year guidance, so it's clearly strong. Just wondering how much visibility, do we have for the full year given? Given we know how the space can be I know you got tons of smaller customers. So that is that is a good amount of diversification. But just wondering and think broadly, how much are you factoring in from the new products, especially the 60 gigahertz as well as a 28? One that that's coming? May God follow? 
Stephen Cumming: Yes, so I mean, visibility for us, certainly within the immediate quarter is always very good. Given the strength of the business and the booking activity. We've actually been working with a lot of our channel partners and distributors to book as early as possible. So we are seeing more activity now go into q2 as well. So that gives us a good snapshot of how the sort of first half of the year is looking. So that and that's improving. I think we can certainly with the products that we released during 2020 that's WiFi-6 and 60 gigahertz, we've seen a lot of momentum as we exited 2020, which gives us very strong comfort, as at 2021 is going to be a strong year for adoption of these new products. I think the other point to note in terms of visibility and predictability of the business, and we comment on this a lot, but much of our business is repeat business.  And in fact, you know, when we look at customers, they come back once they order cambium products, they come back and order time and time again. So about 70% of our product of our revenues sorry, is actually repeat reoccurring purchases from our customer base. And that allows us to give us some confidence in terms of predicting that ongoing run rate business and then overlaying the adoption of new products. 
Atul Bhatnagar: So maybe while in addition to what Stefan mentioned, I think you touched upon six gigahertz and 100 gigahertz, I don't think you will see much of six gigahertz additional product revenue. The 63 valid uses six gigahertz or 60 
Stephen Cumming: 60.
Rod Hall: 60, okay.
Atul Bhatnagar: So 60, you will see a strong 21 performance because there are a few CS activities started in November, December last year continued in, you know, continues in q1 28 gigahertz I think will be love to season, probably second half. And then 22 is when 28 will kick in. So life cycle wise, very consistent, all new products, you know, four to six months of pure sees, and then you start the first deployment, then start the acceleration for the following, you know, two, three years. So I think you'll see the same in 2018. 
Rod Hall: Okay, thanks. I got a follow up on the competitive landscape. I saw the recent article about how your Wi Fi six products are performing better than competition. But in general, broadly, could you talk about the competition that you expect to see, especially in urban markets, etcetera, in the other product segment?
Atul Bhatnagar: Okay. So on Wi-Fi 6; one of the benefits cambium had is as we did reverse acquisition, we picked up a lot of strong multi radio architecture, cloud management expertise, because they used to focus on high performance like phi. And I think that he was a very good design center. And we recently released the Tolly group report. It's a public domain information where you can see the superiority of Gambian biophysics performance compared to competition, because of those things I described to you. So I think overall ease of deployment, higher performance, and making sure we keep our cost structure tight so we can give better affordability to the end customers, that has been the winning formula. And that's why we are projecting about you know, this year, approximately 50% growth or last year. So, I think that formula has worked for us before and we feel pretty good. where we are with Viper, and the design wins and the customer wins and the customer testimonials are giving us the confidence.
Rod Hall: Okay, great, thank you. Thank you.
Operator: Our next question comes from the line of Eric  with JMP Securities.
Unidentified Analyst: Yes, thanks for taking the question. Congrats on a very good quarter. First off, Can you discuss whether there's been a shift in terms of the contribution from your service provider business? I think historically that's been in the range of 45% of your business, has that contribution changed in light of, you know, the whole COVID acceleration. And then secondly, on CBRS, I think it was up 29%. Can you talk a little bit in terms of how you think that might change is the installed base, you know, the traditional products that were already in your installed base, and those been refreshed to this point, now it's new product, new units that would be shipping out? Or how should we think about the CBR?
Atul Bhatnagar: Okay, customer base. Thanks, Eric. So the first is the service provider business actually strengthened? Because as the broadband became the lifeline, and worldwide, different communities, I think the network's had to be scaled. So, in general I would say, what we see is that the list definitely demanded more product but more than that, the tier 2, and tier 3 service providers worldwide got more engaged with Cambium; and actually, in many countries, even tier 1 got engaged with Cambium. So I think service provider business is actually anything , that's one point. Second is, that the service…
Unidentified Analyst: Is it a larger contribution? Can you tell us something on that?
Atul Bhatnagar: It's going to be -- Eric, it's going to be north of 50%. So yes, your 45% is a bit lie; I would say it's north of 50%, and probably is a slightly larger contribution nowadays.
Stephen Cumming: And Eric, what's changing there is that the progressive service providers are now looking for the emerging multi-gigabit technologies, whether it's 60-gigahertz wireless emerging 28 gigahertz; so I think we -- that bodes well for us, because we invested in these areas two years back, everything I'm describing. Some of these investments we made two years back, we knew this is coming; and we are at the right place at the right time. In terms of CBRS; CBRS is finding new applications. I think many enterprises are looking for now more bandwidth, they are looking at CBRS, industrial side is now looking at CBRS. So I think CBRS is not just our existing customers, existing customers was the natural easy part for us, and it still continues to grow; but I think what we are finding is that it's opening new applications and new customers for us. So -- so far continues, I don't think you will see no 22, 23, 24 -- the kind of growth we saw probably in last 12 months or so, at some point will taper off but so far it remains pretty robust.
Unidentified Analyst: Very good. And then, last question. Can you talk about the competitive dynamics with the 60-gigahertz product? I think ubiquity is shipping a product like that. Is there is there much of a competitive market out there?
Atul Bhatnagar: So far our focus has been standard. Our focus has been dot 11 A-wise standard, nothing proprietary, based on commercial chipsets and very easy to deploy same cloud management as our other fixed wireless broadband and Wi-Fi consistent single pane of glass, and very good performance. So -- so far I would say we are probably leading -- and the fact that we have 40 POCs going worldwide, we are one of the largest deployment going right now. We feel pretty good in terms of our differentiation.
Unidentified Analyst: Great. Thank you very much.
Atul Bhatnagar: Thanks, Eric.
Stephen Cumming: Thanks, Eric.
Operator: Your next question comes from the line of John Roy with Water Tower Research.
John Roy: Great, thank you very much. A little bit question I want to dig in a little bit into the cloud management take rate. And maybe you could give us a little bit of an idea or the color on that; and maybe your SaaS revenue, is there any particular growth rate we can think about or targets you want to try and hit for that going forward?
Atul Bhatnagar: So John, I think it's still going to be early year for our software subscription revenues, still -- and we always said that. 2021, the journey has started; and every quarter we will give a good color on where we are. I think in general, our strategy was to make sure we have a strong foundation with most of our devices whether it's PMP or PTP or Wi-Fi or switching or LTE or 60-gigahertz; I think that's a good fortement , just to make sure we can take care of different network models and integrate that . Now that we have done that, our attention shifted to differentiating features which we can charge for. So I think this year is still -- it will be modest numbers, I don't think it'll be huge numbers, but we are beginning to kind of put the systems in place to generate software revenue. And this has been a journey because it's very easy to say we'll claim software revenue, it'll be -- you know, we'll bring that but it has to be highly differentiating. And -- so I think, we -- I feel good at where we are, and we'll give you more color. But I don't think this will be suddenly, say hockey stick. I don't think it will be a hockey stick; I think it will start growing very well, and -- and the features we are adding will give us more and more ability to charge for it.
John Roy: Great, thank you very much.
Atul Bhatnagar: Thanks, John.
Operator: And we'll take one more caller. The last question comes from the line of Tim Savageaux with Northland Capital.
Tim Savageaux: Thanks, good afternoon. And I'll try to make it quick. Kind of back on the topic of the guidance and what might be behind that for the year, i.e. you know, even at the high-end of the range, and especially, given your comments about visibility into Q2; it seems like you're projecting a lower second half than first half. And that's with probably decent RDOF ramp to maybe later in the year, new products continuing to ramp Wi-Fi growth that you've spoken to. So, are you modeling some degree of capacity pull-forwards here in the first half? We have seen that with some of your fiber-based peers focused on the rural market. You mentioned the supply constraints, but nothing on the capacity pull-forward front or are we just really being conservative here? And I have a follow-up.
Stephen Cumming: No, I -- I wouldn't -- this is Stephen. I wouldn't say this is a capacity pull-forward. I mean, certainly, we're putting up a strong Q1 number off of a strong Q4 that we just reported, right. So the year-over-year growth rates here on a midpoint of our guide is going to be north of 30% for Q1, and I think you're going to assume that probably won't be that same sort of growth rates in the second half. We are being a little bit more conservative, given some of the supply constraints that we see; but as I say, that's factored into our guidance and we're not going to provide a quarterly breakout, and we hope that supply eases as we can do better than that. Certainly PMP, given the strength of rural fixed wireless broadband, it's going to be a very nice growth driver for us coupled with the release of our 60-gigahertz product. So we anticipate that piece of the business to grow somewhere between 14% and 16%. And as Atul mentioned earlier, our Wi-Fi business to grow somewhere between 40% and 60%; so some pretty strong growth rates in those businesses but we are being a little bit cautious given the supply environment.
Tim Savageaux: Fair enough. And it sounds like PTP could be another area of caution, and that was actually my follow-up question which is a little bit of a multi-parter but not very much. Which is to say, you have seen -- you mentioned gaining share in PMP and you're doing quite well there, we've seen a couple of meaningful competitive wins by one of your competitors with a couple of the big RDOF winners, by the -- recently, LTD and NextLink . And that might suggest maybe there's some competitive dynamic shifting in PTP that might be a bit of a headwind? And the kind of multi-part aspect is, is that activity amongst those providers, both of whom were big RDOF winners; meaning, they might be accelerating their access deployments where I would imagine you're pretty well positioned, given this -- these backhaul awards? And that's it for me.
Atul Bhatnagar: Tim, I would say that PTP business for Cambium is very much driven not just from the backhaul but also defense, a lot of defense uses Cambium PTP. So sometimes you will see very, very strong quarters, sometimes maybe a little soft quarter for the PDP; that is not driven from. Service provider part for us is actually pretty strong, we feel very good about our PTP business worldwide. In general, access is far bigger business than PTP business for Cambium. So I think overall, as we look at first half, second half; I think PTP will grow, PTP will do what it has done in our -- in 2020, but we are -- we don't see massive headwinds one way or the other in that business. But definitely, it modulates lot more for Cambium from the defense and government side.
Tim Savageaux: Okay, thanks very much.
Atul Bhatnagar: Thank you.
Operator: And I will now like to turn the call back over to Mr. Peter Schumann for closing remarks.
Peter Schuman: Thank you, Daphne. During Q1 '21 Cambium Networks will be presenting a meeting virtually with investors on February 24th with JP Morgan, February 25th with Water Tower Research, at the JP -- JMP Securities Technology Conference on March 2nd, and The Raymond James Institutional Investor Conference on March 3rd, and The ROTH Capital Partners Conference on March 16th. In the meantime, you're always welcome to contact our Investor Relations Department at 847-264-2188 with any additional questions that arise. Thank you for joining us. And this concludes today's call.
Operator: Ladies and gentlemen, that concludes today's quarterly earnings call. Thank you for your participation. And you may now log off.